Operator: Good morning, everyone. My name is Eric and thank you for joining the First Quarter 2025 $for Bragg Gaming Group. I'll shortly hand the call over to Bragg Gaming Group, CEO, Matevz Mazij, who will comment on Bragg's first quarter 2025 performance, and Bragg CFO, Robbie Bressler, who will review and discuss the company's first quarter 2025 financial results. I would like to remind you, if you have not already done so, that you can review Bragg's results presentation on the company's investor website at investors.bragg.group, that's investors plural with an s. Then go to the events and presentations section. On this call, there will be a review of Bragg's financial and operating results for the first quarter of 2025. Following these prepared remarks, the conference call will be opened to a question-and-answer period. I would like to remind you that certain statements made on this conference call and the responses to various questions may constitute forward-looking information or future-oriented financial information within the meaning of applicable securities laws. If you have not already done so, please familiarize yourself with Bragg's full explanation of these risk factors, available on the second slide of Bragg's first quarter 2025 earnings presentation, which is titled forward-looking statements, and which is published on the website at investors.bragg.group. This information is also available in Bragg's recently filed first quarter of 2025 press release and other publicly available disclosures. I'd like to turn the call now to Matevz Mazij, Chief Executive Officer of Bragg.
Matevz Mazij: Good morning, everyone. My name is Matevz Mazij. I'm the CEO of Bragg. On this call today, I'll start with our first quarter highlights and operational updates, then I'll pass the line to Robbie, who will discuss our latest financial results. When Robbie has given his commentary on the numbers, I'll discuss more about our strategy and operations, as well as our outlook for the rest of 2025. And after that, Robbie and I will be more than happy to answer any questions you may have. For those of you that are not familiar with Bragg, who exactly is Bragg Gaming Group? We're not just another name in the iGaming world. First, we're the architects of user experience. We create and delivered cutting edge casino games straight from our own studios and alongside a handpicked selection of the most disruptive third-party creators out there. Second, we're the silent engine behind some of the giants of iGaming, sports betting, and iLottery. We empower operators to launch into the markets and dominate their markets with our proprietary player account management solution and a full in-house built delivery and engagement tech stacks. We arm online casino, sports betting, and lottery operators with the tools to launch flawlessly, scale relentlessly, and optimize for maximum success. Forget glitches, forget headaches, we deliver power and control to our partners. And third, we're obsessed with the player. We don't just look at data, we decode it. We leverage the information coupled with advanced analytics and cutting-edge AI to supercharge player engagement. We maximize revenue potential and build smarter, more efficient iGaming operations. In short, we're building the future of user experience. This is Bragg Gaming Group and what you're about to hear is going to redefine your expectations. In the first quarter of 2025, we're reporting 7.1% revenue growth compared to the same quarter last year. And I'm also highlighting that excluding the Netherlands, revenue growth was a robust 27% over the same period. As is widely reported, the Netherlands market has slowed in recent quarters due to regulatory pressures, a challenge faced by all operators and suppliers serving the regulated market there. I'm pleased that Bragg has shown resilience under these pressures, is reducing the exposure to the Netherlands, and is seeing strong growth in markets such as the United States and Brazil, which I'll talk about more later. I'm delighted to share that we're executing on strategy and moving the metrics that we believe are most important to increase shareholder value. This includes demonstrating operational leverage, which we did in Q1, improving our product mix with a greater proportion of margin accretive revenue, and increased cash generation, which we did in Q1 as well. And Robbie will talk more about this when he takes you through the financials. After that, I will talk about how Bragg is growing in the expanding U.S. online casino market. And not only is the market as a whole growing, but we saw triple-digit growth in U.S. GGR derived from Bragg's proprietary content, such as our recent smash hit, Dragon Power Triple Gold, produced by our in-house studio, Wild Streak Gaming. Operationally, Bragg has had a busy first quarter of 2025, with significant developments across the business. As we announced during the quarter, on the 1st of January, we launched our content in the newly regulated Brazilian iGaming market, a key strategic territory for us, as we expect 10% of our revenue this year to come from the LATAM region. We also announced our games development and remote game server technology agreement with Caesars Digital, leveraging the value of our in-house game development expertise as well as our proprietary technology. The first game to launch under this partnership, Caesars Palace's signature multi-hand Blackjack Surrender, was released just this week, and we congratulate Caesars' newly established in-house game studio, Empire Creative, on this launch and first of many more to come. We continued the North American rollout of our exclusive content with our Loto-Québec launch, and we doubled down on our commitments to expanding our localized games portfolio in key markets around the world with our investment in RapidPlay, an exciting Brazilian casino content studio. At the board level, I congratulate Holly Gagnon, recently appointed Chair of the Board, moving up from her excellent recent service as lead independent director and allowing me to focus on leading our operations as CEO. Lastly, we repaid $5 million of our $7 million secured credit note, while at the same time extending the repayment of the remaining $2 million until June 2025, while we realize a new credit facility with improved terms. Now I'm going to turn the line over to Robbie to discuss our financial results. Robbie?
Robbie Bressler: Thank you, Matt, and good morning to everyone. I will now cover our financial results for the first quarter of 2025. Total revenue for Q1 2025 was €25.5 million, up 7% compared to Q1 2024. As expected, overall top-line performance in Q1 trails our Q4 run rate. This trend is consistent with seasonal patterns in the iCasino market, where Q1 is typically the softest quarter of the year. Factoring out the Netherlands, which decreased 19% compared to Q1 2024 due to regulatory changes such as deposit limits and [post-own] [ph] players and gaming taxes increases of 4%, Bragg's revenue was up a robust 27%. The revenue growth we see outside of the Netherlands underscores the strong fundamentals of the business and reflects an exciting trajectory in growing markets such as the U.S. and Latin America. With a higher concentration of revenue coming from proprietary content, Q1 2025 gross profit margin rose by 612 basis points to 56% compared to Q1 2024. While the Netherlands contracted in Q1 2025 compared to Q1 2024, we expect conditions to improve as operators on our PAM maintain strong market positions and subscale competitors face rising margin pressures that could force them out. At the same time, regulators are intensifying efforts to combat black market activity, a positive trend across Europe that supports Bragg's focus on regulated markets. We are extremely excited about the triple-digit growth of our U.S. revenue in Q1 F'2025 compared to the same period last year. We're also encouraged by the recent developments out of Ohio this week, which signals real momentum towards the possibility of legalization of iCasino in that state. We're well positioned to capitalize on these opportunities. Our integrations with leading operators are already in place and the incremental cost for us to launch in new states such as Ohio is minimal. The addition of Ohio alone could expand the total U.S. iCasino market by more than 20% or U.S.$2 billion, a major opportunity for Bragg as we continue to scale in regulated North American markets. Moving to the bottom-line performance in cash, adjusted EBITDA grew by 19.7% to €4.1 million in Q1 2025 compared to Q1 2024. Our adjusted EBITDA margin was 16%, 169 basis points higher than the same period last year. Turning to cash flow, we generated €4.5 million in operating cash during Q1 2025, a 61% increase from 2.8 million generated in Q1 2024. A key metric that we use to assess our operational cash performance is adjusted EBITDA less capitalized development costs. In Q1 2025, adjusted EBITDA less capitalized development costs amounted to €1.4 million, up 49% compared to Q1 2024 with a conversion ratio of 34%. Finally, excluding non-recurring exceptional items and FX-related impacts, we delivered €0.9 million in free cash, highlighting the positive cash contributions for our increasingly proprietary content focused revenue mix. Q1 bottom-line performance and cash generation illustrates our ability to achieve operational leverage and focus the business on capturing more profitable revenue. Turning to our product mix, we saw strong momentum in Q1 2025, driven by a continued shift towards high value products. Proprietary content reached a record 15.5% of total revenue, reflecting the growing success of our in-house titles, particularly in North America. Revenue from proprietary content grew 62% year-over-year to €3.9 million, up from 2.5 million in Q1 2024, a key milestone in our strategic focus on owned IP. Expanding our proprietary offering remains a core strategic priority. It enhances margins, deepens operator relationships, and strengthens our competitive position as demand for differentiated content continues to grow. Our PAM and turnkey solutions delivered solid growth, with revenue rising to €5.2 million in Q1 2025, or 20.5% of total revenue, up from 18.5% a year ago. At the same time, aggregated third-party content declined to 45% of revenue, down 570 basis points year-over-year. This deliberate shift in our product mix continues to drive profitability. As a result, both margins and cash flows are improving, highlighting the operational leverage from scaling proprietary content and the high margin platform solution. We expect this positive trajectory to continue with our evolving product mix as a key driver of sustained margin expansion and long-term value creation. Turning to the balance sheet, as of March 31st 2025, we held 10.8 million euro in cash and cash equivalents. Subsequent to the quarter, we repaid U.S.$5 million of the U.S.$7 million secured prom note of standing. We remain on track to pay the remaining balance in Q2 2025 and have made strong progress towards securing a lower cost standby revolving work capital facility. The facility is expected to enhance our financial flexibility and position us to pursue high-impact strategic growth opportunities. I will now hand the call back over to Matt.
Matevz Mazij: Thank you, Robbie. I've spoken about the potential of the U.S. market extensively during this call and the U.S. is and will continue to be an extremely important focus for Bragg. Firstly, we're seeing robust overall market expansion in the U.S. with the online casino vertical, our specialty, in Pennsylvania, Michigan, New Jersey, Delaware, and Connecticut growing 25% in the past year, while the online sports betting market in the same states has contracted by 8% during the same period. During this same period, which saw U.S. online casino GGR grow by 25% in a year, we saw a 338% increase in the GGR generated in these U.S. iGaming states from Bragg's proprietary online casino content. For Bragg's online casino content overall, including our partner studios, that growth was 155% in the past year. With iCasino booming, the momentum is growing for new states to open up to online casino regulation. The 9.5 billion U.S. online casino market in 2025 is projected to be worth over U.S. $75 billion at maturity. As we continue to grow at a faster rate than this expanding market, we're extremely bullish about the opportunity for Bragg. Bragg's scalable model allows expansion into new regulated states with minimal incremental costs, as we already have commercial agreements and technical integrations in place with all the leading U.S. market operators, such as Draftkings, FanDuel, BetMGM, Caesars, Crash Street, and Golden Magnet. We're perfectly positioned to capitalize on this growing online casino market, and we are already growing at a faster rate than the market. In our other big key market, the LATAM, we're making great progress as well. To recap, we launched in Brazil on the first day of the regulated market opening, on January 1, 2025. As can be expected when a pre-regulation market adopts a new regulatory framework, the first month of the new market was a little soft, but it has picked up strongly, and we remain very bullish for the rest of the year in Brazil, both with our existing customers in the country and with the many new customers we have in the delivery pipeline. By launching on the first day of market opening, we are strategically positioned for strong growth in Brazil's iGaming market, which is expected to generate U.S.$1.5 billion in its first year. That growth will, according to projections from H2 Gambling Capital, continue in the coming years, with Brazil's online casino market expected to reach U.S.$3.7 billion by 2030. Supporting our Brazilian operations is our partnership and investment in RapidPlay, a specialist Brazilian game studio, which builds premium, culturally attuned casino content that resonates with local Brazilian and Latin American players. Not only does this expand and enrich our localized content portfolio, but our strategic partnership includes the option for Bragg to acquire a controlling interest in the studio in the future. Robbie and I have talked about our increasing revenue diversification and our decreasing reliance on the Netherlands and on our largest customer in the country, BetCity. Since 2022, BetCity has become a lower margin customer for us. We project that in the full year of 2025, around 80% of revenues from this customer will be generated from our lowest margin vertical casino content aggregation. In 2022, less than 60% of the revenue mix from BetCity came from aggregation. Over the same period, we have expanded in territories outside of the Netherlands, while in the Netherlands itself, changing regulations have put increasing pressure on all operators and suppliers in that market. The result is that BetCity has steadily dropped from being 42% of total revenue for Bragg in 2022 to a projected 16% in the full year of 2025. And on this trend, we no longer expect BetCity to be our biggest customer next year. In fact, should BetCity exercise an option to migrate to a proprietary tech stack, we would anticipate a minor impact on Bragg's bottom-line. Now I'm going to tell you why Bragg is well-placed to capture value in regulated iGaming markets. Firstly, against the backdrop of tightening regulations and increasing enforcement by iGaming regulators in the U.S. and globally, we are uniquely positioned in the market as a NASDAQ-listed regulated iGaming market supplier with a truly global reach. Most of our competitors offering online casino content and technology do not have the same regulated market focus or product range as we do. We have an expanding profile in the U.S. market as a Tier-1 iGaming content partner, having partnered with the likes of DraftKings, FanDuel, BetMGM, Caesars, and Hard Rock. We're well-placed to capture value in regulated markets globally, and there is substantial value creation ahead. For context, Bragg's enterprise value is currently approximately $110 million, which is approximately 5x the midpoint guidance adjusted EBITDA figure for 2025 of approximately $22.5 million. Other companies in the sector have been acquired at enterprise valuations of 14x of their EBITDA, signaling a strong case for value creation through investment with Bragg. We're laser-focused on creating growth opportunities in 2025 from our high-margin proprietary iGaming product, our fully-owned online casino content portfolio, and our in-house built technology, and we're accelerating the strong momentum we have seen both this quarter and over the past year. Our guidance figures for 2025 project an 18% uptick in revenue to a midpoint of €120.25 million, and a 28% increase in our adjusted EBITDA to midpoint of €20.25 million, and we have a robust pipeline of opportunities which have the potential to create additional upside to these existing guidance figures. We're checking the boxes of key metrics that we believe unlock Bragg's true value. We're demonstrating operational leverage, we're increasing bottom-line margins, and we're improving cash generation. Thank you for listening. I'd like to take this opportunity to pay tribute to the entire Bragg team for their continued unwavering hard work and commitment during the first quarter of 2025 and beyond, and now I will turn the line back to the operator, and Robbie and I will be happy to take any questions.
Operator: [Operator Instructions]. Your first question comes from the line of Jordan Bender with Citizens.
Jordan Bender: You called out some of the BetCity headwinds, but PAM revenue did increase pretty nicely in the quarter. I have two questions on that. One is, where are you seeing the strengths in PAM revenue outside of the Netherlands in the BetCity headwinds? And then second, your PAM guidance of flat for the year implies a pretty material deceleration. I'm just kind of wondering what you're seeing outside of the Netherlands in BetCity that would cause that from what you saw in the first quarter. Thank you.
Robbie Bressler: Happy to take that. So, yes, we are seeing in the Netherlands, we are, as mentioned on the call and in our remarks, that we are seeing contraction in that market. We do see other opportunities in Europe and we're seeing good growth and good opportunities coming across our pipeline to be able to roll out our PAM in other jurisdictions. But we are being very particular about making sure PAM opportunities are going to be able to be scalable in a fashion that's going to justify the cost of investment to do that. But we're quite pleased with the amounts of interest there is. I think there's a bit of a trend amongst operators who are looking to expand outside of their core markets and not necessarily revamping their tech stack to do that. Being able to get a tech stack into a different jurisdiction is not an easy feat for a B2C operator. And a lot of B2C operators are much more willing to make the investment in marketing spend and player acquisition costs rather than revamping their tech stack. So the amount of coverage we have with our PAM sets us up extremely well to be able to service that need.
Matevz Mazij: And if I elaborate on the territories, we're looking at a number of territories together with our existing operators and operators that are currently not on our list of clients. These jurisdictions in Europe are the jurisdictions that are expected to regulate iGaming in the near future. We have mentioned some of these jurisdictions in the past, certainly Finland, France to a certain extent, depending on the timing of the regulation obviously. And then there are jurisdictions like New Zealand that is expected to regulate in the future. And our existing markets where we are currently supplying content and content aggregation, such as Canada and Brazil.
Jordan Bender: Great. Thank you for that. And just to follow up, Robbie, loud and clear on the debt facility, understanding we're kind of in a wait and see mode on the ultimate financing. It does appear the business is on stable footing growth trajectory for the year, looking strong. Curious how you look to get opportunistic utilizing that cash once the final debt facility is in place. Thank you.
Robbie Bressler: Sure. Yes. And as mentioned, looking for right strategic investments to enhance our business. So if there is opportunities to get into partnerships, somewhat similar to what we've done with RapidPlay, where we can get a good fitting into or a good entry point into a country from an actual boots on the ground situation, and be able to leverage the outputs of a studio like RapidPlay, really for all of Latin America, and perhaps even the world. The cost of development of content and the quality that comes out of RapidPlay is extremely exciting. And we really think we can leverage opportunities like that to enhance what we're doing across the world.
Operator: The next question comes from the line of Jeff Stantial with Stifel.
Jeff Stantial: A bit of a strategic question here. I was hoping you might just expand a little bit further on the ongoing and targeted shift from aggregated content over to first party. Taking a step back, just how do you see this mix evolving, let's say over the next three to five years? What are sort of the key levers to get there? And just should we think about the overall scale of potential margin accretion as you execute on this strategy? Thanks.
Robbie Bressler: Thanks for the question. Aggregation is definitely something that we're not looking to move away from. It's just we want it to be less and less strategic for us. And what it does is it provides a good entry point to be integrated with the operators. But that's step one in our mind. The next step is getting our proprietary content flowing as much as we can. So we think that trend is just going to keep continuing and continuing. I do think from a margin perspective, I believe this company at full scale should be in the 20% margin region. And I think we're making the right moves to get there. I'm actually confident we're making the right moves to get there. And just one example of that is our run rate. And this is also looking beyond just EBITDA. I'm looking at actually cash conversion. Our run rate for capitalized costs for 2024 was about $3 million. And we came in under that for this quarter. So we're decreasing our capitalized costs, our development costs, but we are scaling. And we're scaling a lot of that development cost is going into the U.S. market specifically. And as we've shown in our results, that market and that investment is scaling very significantly. And it is very concentrated on proprietary content. So the trend is that we should be moving to more margin accretive results. And I do think that'll continue into our future. The one thing we love about proprietary content, as you know, with content, it could really resonate for a long period of time. And we're seeing that with titles that are coming out in the U.S.
Jeff Stantial: That's great. Thanks, Robbie. And then if I could ask one more sort of high level strategic one, but shifting over to the Fuse engagement capabilities, just how wide of an addressable market you envision for this platform? And how should we think about sort of the drivers to get more customer adoption? Is it just kind of time blocking and tackling and marketing? Are there tech friction points that can still be solved? Just any thoughts there on the outlook for more partnerships would be great. Thanks.
Matevz Mazij: So on Fuse, we have a number of integrations into a number of Tier-1 operators in the market. Some of them have their own technology that covers the basic functionalities that Fuse also delivers. But we're looking at maybe Tier-2 and Tier-3 operators who don't necessarily have the sophisticated tools to convert, retain, engage, manage loyalty, manage data as well, to a certain extent, manage bonusing, casino bonusing in particular. And that's what Fuse perfectly fits into the tech stack picture, into the architecture of the B2C tech stack that an operator uses. Fuse is an element of our product portfolio that is built in a way that once you have integrated our aggregation platform, our hub, our content delivery platform, it works for all the content providers that are delivered through that platform, including obviously our proprietary content. It works automatically with our proprietary content. So Fuse has a few different functions in that respect. It allows us to properly place and aggressively promote our content with the feature set that we have developed for that. But it also allows the operator to then expand on that and add more content providers into the mix and place and promote third-party content as well, which is essentially then allowing them to increase the KPIs such as bed sizes, session lengths, lifetime value at the end of the day. And then there's another function, which is Fuse features. We're trying to build our proprietary content portfolio using those features. And we'll see more of that in the future. So Fuse is not necessarily just a standalone product that we're trying to market into the B2C organizations. It has multiple different functions in our ecosystem, and we see a very bright future for the product.
Operator: The next question comes from the line of Gianluca Tucci with Haywood Securities.
Gianluca Tucci: Pretty good performance in the U.S. and the Brazilian markets. Just when it comes to the U.S., are you doing anything differently today than in years past? Is there any particular partner that's outperforming, or is it a change in overall market strategy? Just wondering what's causing this growth here, and if you expect this type of growth to continue for the rest of the year.
Robbie Bressler: Thanks for the question. We are strategically invested in rolling out a higher cadence of content titles in the U.S., and we brought in talent both on the commercial and on the development side to accelerate that. And that's one thing that we haven't had historically, is that cadence of titles and that bench strength to be able to get with operators and get them interested in promoting our content. We're very happy that our investment is working extremely well, and we see this continuing. What's extremely exciting about the U.S. and very happy to hear the announcement about [indiscernible] and how that market is going to be regulating iCasino, hopefully could be in the near future, could be as quick as Q1 of next year. We're so well situated to go into new territories like that, which could be up to $2 billion in iCasino GGR. We're integrated with the top operators. The cost for us to do this is minimal, and we're proving that we do have meaningful content that works with U.S. players. That opportunity and the way we situated ourselves, we really couldn't be happier and pleased with how our U.S. strategy is playing out.
Gianluca Tucci: That's good color. Thank you, Robbie. And then, just secondly, perhaps from us to you invested in a studio in Brazil not too long ago. You clearly see an opportunity there for outsized growth. How big are you hoping that market gets for you guys in the context of market share? Do you see a scenario where you're in the market leader conversation for content or PAM in Brazil?
Matevz Mazij: Yes. We're very optimistic about Brazil. Currently, we're trending towards the top of the market. Our integrations are getting bigger and bigger. The list of operators is getting bigger and bigger. We have only started deploying our proprietary content. It's only been 3-4 months of us doing business there. We definitely see a large potential. What is going to be the market share that we're going to get there? It's definitely something that we're not able to tell right now. It's going to be interesting to see how this market is going to develop in the future. We're certainly going to see lots of changes in the market. There are a few different proposals on the table by the government how to tax operations before the regulation. Then, we'll see how the operators are going to react to it. Again, we're very optimistic about the market in general. We're perfectly positioned to service the operators with our delivery and engagement tech stacks. We're looking at the opportunities for PAM. We're going to start building our proprietary content portfolio on the top of whatever we have already delivered proprietary studios with RapidPlay. RapidPlay is something that we're expecting to roll out in the next couple of quarters and we'll see what the results of that are going to be.
Operator: Your next question comes from David McFadgen with Cormark Security.
David McFadgen: A couple of questions. Just on Brazil, it was nice to see the amount of revenue you guys generated in Q1 from that market. I'm just wondering, did you have all your clients on board right away or did you onboard them as the quarter went through? It seems like that could be quite a bit of revenue for you.
Robbie Bressler: Yes. So we did scale integrations but we did have good amounts on day one. There was a little bit of sluggishness in the market on the B2C operator side in getting their customers changed over from pre-regulated to regulated. So, a lot of B2C operators started slower than probably anticipated. But as the quarter moved, things became much more positive in terms of results. So, we see Q1 as a good start but not indicative of where we're going to go with Brazil and where Brazil's going to go. So, we're quite excited about the run rates we're seeing now. And as we increase those integrations, we're more and more confident that Brazil is going to be very significant for us. And as Mats was saying, there's a lot of opportunities that are coming across us. The RapidPlay opportunity gives us even more bench strength to be able to service the market. So, I'm quite pleased on how Brazil's playing out.
David McFadgen: Okay. And then just on Ohio, when do you expect that that could go live?
Robbie Bressler: So, what we're hearing, and none of this still has legislative risk to it, although indications are very positive, could be as early as March 31, 2026. That's what we're hearing from our legal advisors, which is quite quick. And I can't say enough how positive a sign that is for the U.S. Ohio, as mentioned, is a sizable market. Regulators and states are understanding the value in iCasino. iCasino is growing much faster in the states where there's dual regulation of sports and iCasino. Sports is actually contracting. So, for states to realize more tax revenue and to capitalize on a market that's there. And when I say it's there, there's the sweeps market, the sweepstakes iCasino market that's been operating for a number of years in the U.S. that relies on sweepstakes legislation as its legal basis. And the amount of money that's being made and untaxed is really, really impressive. But it's also eye-opening for regulators to see the amount of demand that there is, and how much money tax revenue-wise is being left on the table. So, good indication on Ohio, and I'm excited that there hopefully will be more news in the U.S. in the near future.
David McFadgen: Okay. So, assuming Ohio goes live, is there, or do you anticipate there's any significant operator that you're not working with?
Robbie Bressler: No. We have 90% coverage in all existing iCasino markets, and that's because we're integrated with all the top operators. There's nothing unique about Ohio. It's already regulated for sports. It's dominated by DraftKings, FanDuel, BetMGM, us, and the likes of those, which we're all integrated with. So, we see this as just all positive incremental exposure with minimal cost to deploy.
David McFadgen: Okay. So, in your presentation, you called out the potential for BetCity to potentially move to another tech stock, its own proprietary tech stock. Any idea on when Entain would actually make a call on this decision?
Matevz Mazij: No. We don't have that date. I mean, they have announced that on their earnings call in previous years, but we do not have the date when that decision is going to be made.
Robbie Bressler: But as illustrated, it's really a much less significant impact to us as our business has evolved. And we do think our relationship with BetCity and with Entain is very fluid and quite strong. We do think there are services we will provide to BetCity beyond just the tech stack. So, the relationship may evolve. We haven't, nothing formally has been determined. But again, this is insignificant to what we're doing now. And we completely de-risked ourselves from being exposed to that one customer. And we've highlighted that in our investor deck. And it's quite a strong development for us. And again, it shows how resilient this business has been and is. We've had to veer from other jurisdictions because of regulatory changes. This company keeps adapting, finding the right opportunities to deploy in and being able to capture meaningful revenue in those jurisdictions.
David McFadgen: Okay. So, I understand that you did sign a 2-year deal, 2-year extension with BetCity. When does that actually come up for renewal? When does it expire?
Matevz Mazij: It expires at the end of 2025. So, the 31st of December, 2025.
David McFadgen: Okay.
Robbie Bressler: And for migration to occur, from a technical point of view, it's virtually impossible to do an effective migration in a six-month period. So, we haven't heard anything formal, but we do not believe it's a likely 2026 occurrence. But again, we've moved so far off of being so focused on that. We want to maintain a good relationship with BetCity, but we're not overly worried about what happens in that relationship.
David McFadgen: Okay. So, given you haven't heard anything, it would seem as though the status quo is going to continue, right?
Matevz Mazij: Even if they decide to migrate, they're going to migrate. I mean, we are going to do whatever it takes to help BetCity to seamlessly migrate, meaning there's going to be minimal decrease in their revenue, because our desire, our expectation is to continue the relationship with BetCity as a content provider, as an engagement tool provider, as a delivery provider, as we have a number of different products that we have in our portfolio that we believe Entain could use in the future, both on the BetCity brand and on other brands. So, if they decide tomorrow that they want to migrate, we are going to be, obviously, we're going to prepare a migration plan and work against that migration plan, but we don't have any definitive dates in our hands today as to when is that decision going to be made and what the migration timeline could potentially look like. It's on Entain's side to decide when and how they potentially want to do that.
David McFadgen: Okay. And then, just lastly, just on the new credit facility, what do you expect the lender to use as security or collateral?
Robbie Bressler: Good question. So, it will be our accounts receivable. So, this will be a pure working capital loan that really is not secured against the whole assets of the business, like our current prom note, but that's the intended structure for it.
David McFadgen: Okay. And what about just getting a general corporate line security against cash flow of the business? Have you thought about that?
Robbie Bressler: We've looked at all options that are going to meet our needs and make most sense for us, and I think we're optimistic that the option that we're pursuing is solid, decreases the cost of borrowing, flexible. We don't need to pull on it when it's not needed with a very low standby cost. So, I think we're moving in the right direction and getting a facility that's right for what we need.
Operator: Your next question comes from the line of Jack Cordera with Maxim Group.
Jack Cordera: Hi, this is Jack Cordera calling in for Jack Vander Aarde. Thanks for taking my question. Can you give us an update on the coverage in Brazil, B2B coverage? And then, you know, to touch on a prior question, given Brazil is punching about 8% of revenue in 1Q, you know, do you see potential contribution upside beyond that 10% you've referenced?
Robbie Bressler: Jack, thanks for the question. I do. I do think Brazil potentially could outperform. We're quite optimistic about it, as I said. Coverage-wise, we do think we'll be, you know, 50% plus. It's a little bit more segmented, Brazil, than U.S. So, it takes a little bit more time, but we are hitting top operators. Our relationship with RapidPlay actually really helps us further that coverage. The principles behind RapidPlay are very well known in Brazil, and are good strategic partners to help us move to a larger distribution network. So, quite excited as to how that's going to progress.
Jack Cordera: Okay, awesome. And then, if you could touch on potential expansion again, you mentioned Ohio. But given the recent legislature in Alberta, is that an attractive expansion target? And then, you mentioned kind of the legislative risk or uncertainty, but are there any markets you're thinking of other than Ohio that are kind of near-term events? Thanks.
Robbie Bressler: I mean, Alberta definitely is strategic for us, and Canada is a very similar model in the sense that there's top operators that dominate, and I think Alberta will follow suit. We've also launched with local provincial operators like Lotto Quebec, and look for opportunities to do that both in British Columbia and Alberta. In terms of, sorry, remind me what the second part of your question was?
Jack Cordera: You mentioned some legislative risk, meaning like there's timing as to when these things happen, but are any markets other than Ohio that, you know, you mentioned Ohio is kind of a near-term one to March 2026 event? Is there any markets you're thinking of as kind of near-term events?
Robbie Bressler: There's rumblings about Illinois. We've heard Indiana. New York's been discussed for a long period of time. To be honest, I haven't heard this level of excitement and low risk on a jurisdiction actually being able to get the legislation through than I have with Ohio. So, this is, you know, this is a great development. I do think it's potential for a bit of a domino effect as a few states start moving more aggressively on this. You may see some other states follow suit, but it doesn't, we've mentioned these stats a lot. Right now, the iCasino market's worth about $9.5 billion. Ohio's going to, one market's going to increase that by 20%. And that's not insignificant. $3 billion market is large, especially when it's dominated by a handful of operators, and especially when we come in day one with significant coverage in terms of our products hitting that market. So, for us to see significant movements in concentration of U.S., of our U.S. story, it does, it's not contingent on a significant number of new markets coming on. We can, we see the growth even without new entrants, but with new entrants, it takes the scalability of our story and really amplifies it quite quickly.
Operator: And next question comes from the line of Aniss Gamassi with Bastion Asset Management.
Aniss Gamassi: Just a question on your 2025 guidance. It implies a pretty heavy step up in growth for the reminder of the year. What gives you confidence in the trajectory on a sequential basis from the $25.5 million you just printed? Thank you.
Robbie Bressler: Thanks. Q1 historically always is a light quarter, so it's not unexpected that Q1 comes in light, and it's not indicative of the run rate that we believe will happen through the year. A lot of the points that we brought out on the call, especially the bit of a sluggish start in Brazil, we see there's still opportunity to potentially outperform that market. We do see aggressive growth rates, as we mentioned, in the U.S., and a lot of pipeline opportunities that are getting much closer to being active and closed. And we also think that the trend that's happening fairly quickly in Europe with regulators is going to keep having a very solid knock-on effect to us. And we do think the Netherlands market could become more bullish and kind of bottom out from where it was and where it's been because of regulatory changes. So we see opportunities there. And the regulatory mindset that I believe is changing a little bit in Europe is really going after operators or suppliers who supply content in both black markets and clean markets. That's something that regulators are just finding unacceptable, and it's a way to really lower the black market player experience. And there's sizable operators who have conundrums that are being affected by that. And we think we're so well placed for any disruption on that side and even any net benefit to the whole regulated community when the black market goes down. Because we're so focused on the regulated markets, we think that we're going to see some good developments in various European jurisdictions as this sort of regulatory mindset changes.
Aniss Gamassi: Understood. Appreciate that. And could you maybe just talk a little bit about the margin differential between the proprietary content versus aggregated content?
Robbie Bressler: Sure. In some ways, it's night and day. Just from a gross profit perspective, our aggregated content is somewhere between, let's say, 9% to 12%, where our gross profit on proprietary is 100%. So a lot of costs on the aggregated side are shaved off the top. So the margins are quite thin when you get down to actual adjusted EBITDA, where proprietary content, a lot of the costs associated with the development are capitalized. And a lot of the bottom-line impact is quite solid. But we don't just stop at looking at adjusted EBITDA. As mentioned in my remarks, looking at adjusted EBITDA less capitalized cost is a very important metric, which we gauge our performance. And we're seeing positive movements in that. And as I mentioned, our CapEx spend run rate for 2024 was about $3 million a quarter. We came under that this quarter. And a lot of our costs were associated with the U.S. market. And to see the already return on that investment that we're making in the U.S. is extremely promising.
Aniss Gamassi: Understood. And maybe last one for me, do you believe there's a near term opportunity to strike similar deals like the one you signed with Caesars?
Robbie Bressler\: We do. The desire for operators to have bespoke content and have their own content capabilities is something a lot of North American operators are focused on. And the success of the Caesars situation is great. We are in discussions to have development work with other operators to create bespoke content very similar. So yeah, we think that is a trend that will continue. And again, the Caesars partnership has really shown us and the industry that our capabilities, our tech is very highly viewed. And I think that that's promising for us.
Operator: I'll now turn the call back over to Robbie Bressler for closing remarks. Please go ahead.
Robbie Bressler: Great. Just want to thank everyone for their participation. We are really excited about what 2025 is going to deliver. We appreciate the constant support we have from investors and analysts. And we believe we're driving the key metrics for this business that are going to unlock massive value for Bragg shareholders. Look forward to speaking in a couple months and we'll end it there. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining and you may now disconnect. And we are clear. Thanks, everybody.